Operator: Welcome to the Fourth Quarter 2014 Earnings Conference Call. My name is Joe and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. And later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Mr. Jason Lang. Mr. Lang, you may begin.
Jason Lang: Thank you, Joe. Good morning, everyone. Welcome to Avista’s fourth quarter and fiscal year 2014 earnings conference call. Our earnings were released pre-market this morning and the release is available on our website at avistacorp.com. Joining me this morning are Avista Corp Chairman of the Board, President and CEO, Scott Morris; Senior Vice President and CFO, Mark Thies; Senior Vice President and the President of Avista Utilities, Dennis Vermillion; Vice President, State and Federal Regulation, Kelly Norwood; and the Vice President, Controller and Principal Accounting Officer, Christy Burmeister-Smith. I would like to remind everyone that some of the statements that will be made today are forward-looking statements that involve assumptions, risks and uncertainties, which are subject to change. For reference to the various factors which could cause actual results to differ materially from those discussed in today’s call, please refer to our Form 10-K for 2013 and Form 10-Q for the third quarter of 2014, which are available on our website, also we are planning to file our 2014 10-K later today. To begin this presentation, I would like to recap the financial results presented in today’s press release. Our earnings from continuing operations for the fourth quarter of 2014 were $0.48 per diluted share, compared to $0.51 for the fourth quarter of 2013. Our consolidated earnings for the fourth quarter of 2014 were $0.51 per diluted share, compared to $0.53 for the fourth quarter of 2013. For the full-year, earnings from continuing operations were $1.93 per diluted share, compared to a $1.74 last year. Our consolidated earnings for the year were $3.10 per diluted share for 2014, compared to $1.85 last year. Now, I will turn the discussion over to Scott.
Scott Morris: Well, Thank you, Jason and good morning, everyone. We had a transformational year in 2014 with a sale of Ecova and the successful acquisition of our Alaska Electric Light and Power. These are significant milestone for our company and it’s fitting that they occur during our 125th anniversary year. And in addition, we are pleased to continue our strong partnerships with the communities that we serve. 2014 was another strong year for Avista Utilities with earnings above our expectations. Our new Alaska operations also met our expectations in the second half of the year. We’re continuing to look at opportunities for corporate growth and to bring value to our customers. This includes exploring ways to bring natural gas to Southeast Alaska and providing LNG for power generation, marine fueling and as a transportation fuel in the western part of North America. We may also make other targeted investments that will help us gain strategic insides in building new growth platforms. Over the past several years, we’ve been working hard to replace our 20-year old customer information and work management systems which impact nearly every aspect of our business. And I am excited to announce that earlier this month, we successfully completed the implementation of our two new systems and I want to thank all the dedicated Avista employees and our contractors who work so extremely hard to get this project done. Along with the information system project I just described, we’re also making significant capital investments in upgrading our infrastructure, to preserve and enhance service reliability for our customers. Earlier this month, we filed electric and natural gas general rate cases with Washington commission to recover these capital investments and other costs. Our request, our design to increase annual base electric revenues by 33.2 million and annual natural gas base revenues by 12 million. In January, we filed an all-party settlement agreement with an Oregon Commission related to our natural gas general rate case. On February 23rd, the Oregon Commission rejected our settlement agreement due to concerns over three primary issues relating to a temporary revenue credit to customers, the rate spread to propose new rates among customer class and our customers’ account tracking mechanism. The Oregon Commission encouraged the interested parties to work together to address these issues and we were work to resolve the general rate case in a timely manner. I am pleased to report that earlier this month, the Board of Directors raised their quarterly common stock dividend by 4% and this marks the 13th constitutive year the board has raised the dividend for our shareholders. And lastly, we are expecting continued earnings growth in 2015 and we will - we are confirming our 2015 earnings guidance with a consolidated range of $1.86 to $2.06. And Mark will provide more details on our earning guidance in his remarks. So at this time, I am just going to turn it over to Mark.
Mark Thies: Thank you, Scott, and good morning, everyone. For 2014 Avista Utilities contributed $1.83 per diluted share, an increase from a $1.81 in the prior year. Earnings were slightly higher than originally expected due to higher loads in the first nine months, lower power supply cost and continued management of our expenses and lower interest cost. And these increases were tempered by a provision for sharing our earnings with Idaho customers and lower loads during the fourth quarter. Our utility contributed $0.45 per share in the fourth quarter of ’14 compared to $0.54 in the fourth quarter of last year. These earnings were below our expectation primarily due to much warmer weather than the prior year and much warmer than normal weather which reduced our heating loads. For the fourth quarter of 2014, we also recognized the benefit of 0.1 million under the energy recovery mechanism in Washington. And that compares to an expense of 4.2 million in the fourth quarter of 2013. For the full-year, we recognized 5.4 million of a benefit under the ERM compared to an expense of 4.7 million last year. And that resulted from last year recall that Colstrip was out from July to the end of the year and in 2014, the benefits largely due to we had a very strong hydro year. We continue to be committed to updating and maintaining our utility system and in 2014 on a cash basis, we spent $325 million for capital expenditures and we expect our capital expenditures for 2015 to be about $375 million and $350 million in each of 2016 and 2017. In our last utility, we expect to spend about $15 million in 2015 and 2016 and $13 million in 2017. A significant portion of these capital expenditures for their construction of an additional backup generation plan. I’ll now review our liquidity and financing plans. Avista has $400 million committed line of credit with various financial institutions that expires in April, 2019. As of December 31, there were $105 million of cash borrowings and $32.6 million of letter of credit leaving $262.4 of available liquidity under this agreement. In November of 2014, AEL&P entered into a committed line of credit amounted $25 million that expires in November of 2019 and at December, there were no borrowings outstanding under this agreement. In December of 2014, Avista Corp issued $60 million of first mortgage bonds in a private placement transaction and those bonds bare an interest rate of 4.11% and mature in December of 2044. And also in December, AERC entered into a $15 million term loan which matures in December of 2019 and the proceeds of this loan were paid as a cash dividend to Avista Corp. And this really completes the rebalancing of the capital structure with respect to our last acquisition that we started in July of 2014. During the second half of 2014, we repurchased 2.5 million shares of our outstanding common stock through a stock repurchase program at a total cost of just under $80 million on an average cost of 31.57 per share. We didn’t make any repurchases under this program subsequent to October of 2014. And then earlier this year, we initiated a second stock repurchase program which will continue through March 31st of 2015 for the repurchase of up to 800,000 shares of our outstanding common stock. Through the end of January, we have not repurchased any shares under this program and if current market conditions continue through the end of the first quarter, we don’t anticipate purchasing any shares under this program. If this occurs, we don’t expect to issue any common stock in 2015 other than shares under the employee plans which we estimate to above $1.2 million. For 2015, we do expect issue approximately $125 million a long term debt in order to maintain an appropriate capital structure and to fund our planned capital expenditures. We are confirming our 2015 guidance as Scott said earlier for consolidated earnings to be in a range of $1.86 to $2.06 per diluted share. Our earnings range previously assumed that we would repurchase 4 million share of common stock from 2014 repurchase program by the end of 2014. By not completing that program and in turn not issuing any stock in 2015 other than those under the employee plans, we’ll be slightly over equitized and we expect that the cause of dilution of approximately $0.03 in 2015. We expect Avista Utilities to contribute in the range of a $1.81 to a $1.95 per diluted share for 2015. As compared to 2014, we expect our 2015 earnings to be positively impacted by approved recovery of capital costs and capital investments and in 2015, we expect utility load growth of approximately 1% and a growth in O&M expenses of approximately [indiscernible]. Our range for Avista Utilities and company expected variability in power supply cost and the application of the ERM to that power supply cost variability. The midpoint of our guidance for Avista Utilities does not include any benefit or expense under the ERM. In 2015, we expect to be in a benefit position under ERM within the 90% customer, 10% company sharing band, which is expected to add 5% to 6% to share, $0.05 to $0.06 per share to Avista Utilities earnings. Our outlook for Avista Utilities assumes among other variables, normal precipitation, temperatures and hydroelectric generation for the remainder of the year and it also includes the expected impact from decoupling in Washington. We estimate that our 2015 Avista Utilities earnings guidance range encompasses our return on equity range of approximately 8.4% at the bottom and 9% at the top end of the range for Avista Utilities. For 2015, we expect AEL&P to contribute in the range of $0.08 to $0.12 per diluted share. And our outlook for AEL&P also assumes among other variables, normal precipitation, temperatures and hydroelectric generation for the remainder of the year. We expect other businesses to between a loss of $0.01 and a loss of $0.03 per diluted share in 2015 which includes our cost associated with exploring strategic opportunity. Our guidance generally doesn’t include or only includes normal operating conditions and does not include unusual items such as settlement transactions, impairments or acquisitions or dispositions into the effects of such are known uncertain. And lastly, I’d like to make a few comments about the weather in our service territory, the Pacific Northwest has not have the severe cold that a lot of the U.S. has been experiencing, January and the first half of February have been warmer than normal, which is negatively impacted our heating loads and we expect the impact of that to be partially mitigated due to the new decoupling mechanism we have in the state of Washington and our continue cost management. Now, I’ll turn the call back over to Jason.
Jason Lang: Thanks Mark. Joe, now we’d like to open the call up for questions.
Operator: Thank you. We will not begin the question-and-answer session. [Operator Instructions] And our first question here comes from Mr. Michael Weinstein from UBS. Please go ahead, sir.
Michael Weinstein: Hi good morning.
Scott Morris: Good morning.
Michael Weinstein: Hey, I was wondering if you could update us or just refresh how the - your expectations for the accretion for the Alaska acquisition? And then also what is the plan for rate filings there going forward?
Scott Morris: With respect to - updating on accretion, we just came out and actually included that as part of our guidance. We expect to make $0.08 to $0.12 per share from our Alaska, from Alaska electric, light and power operations in 2015 and that just included in our total guidance. When we originally came out with the transaction earlier last year or middle of last year, we said it would be slightly dilutive for 2014 and slightly accretive for 2015. But so what we did is we just said that’s included as part of our expectations going forward and there are $0.08 to $0.12 in our guidance.
Michael Weinstein: Is that represents some of small amount of accretion rates for 2015?
Scott Morris: We think we are in line with our expectation when we did the transaction.
Michael Weinstein: Okay, thanks. And what about the rate plans?
Kelly Norwood: Mike, this is Kelly. We recently took a look at the need for rate relief in Alaska and what is shows with there is very little need in the immediate term, so we’ll continue to look at that in the months ahead.
Michael Weinstein: Alright, great and one final question about and I know probably taking someone’s question but about Salix. I am wondering if you could update us on strategic opportunities that you are seeing there?
Scott Morris: Well, we continue to look, you know some that in the last probably four months, oil prices have come down substantially, right, so we’re - a number of counterparties or number of parties as we look at using natural gas with respect to Salix opportunities, with respect to opportunities in Southeast Alaska to bring natural gas there and with respect to the - from energy investment, we have everybody is kind of reevaluating where they are currently in the short term. We think longer term, we are continuing to look at those opportunities and believe they have merit for opportunities. So we continue to look at as we said earlier, the opportunities in the - for generation, for marine fueling or bunkering and for transportation in the Western U.S. or Western North America and we continue to look those. We expect to have some further announcement and color throughout. As we go through 2015 and towards the end of 2015, we expect to be able to make more definitive announcements as to where we are. We continue to look at those and are continued excited about looking at those opportunities.
Michael Weinstein: I mean you would say that the impact of falling oil prices has had any kind of effected oil?
Scott Morris: Well, it’s had an effect because it does impact the change, the economics if somebody is going to change from burning diesel in LNG, that cost of diesel has come down, so we just have to evaluate that, we still think there is opportunities for that to make sense, it just is we have to do some more evaluation in our counterparties, the customers are looking at that as well.
Kelly Norwood: Yeah, Michael I would just add that. Again this is obviously a long term place, so there is some short terms hits to oil prices. I don’t think anybody expects to step these levels for the long term. So we’re looking at this is a long term play and we’re still excited about the opportunities to the future.
Michael Weinstein: Great, thank you very much.
Scott Morris: Thanks Mike.
Operator: And thank you. Our next question here comes from Mr. Paul Ridzon. For opening your line sir [Operator Instructions] Mr. Paul Ridzon from KeyBanc. Please go ahead.
Kelly Norwood: Good morning, Ridzon, how are you?
Scott Morris: Hi Paul.
Paul Ridzon: Hi just looking for a quick update on hydro conditions, I know it’s still pretty early in the year but has some of the warms brought the load on early?
Dennis Vermillion: Hi Paul, this is Dennis. Yeah, the warm has accelerated the runoff, so a lot of the lower level snowpack that we have has melted and as a result our reserve pretty fall for this time of year. However, as of the yesterday, the Northwest forecast center had, the water supply forecast for April through September on the Clark Fork still in a 101%, so still pretty good operating level, snow at the Clark Fork. The Spokane River is not so, it’s forecast at 75%. Remember, 75% of our generation annually comes from the Clark Fork, so we still think we’re on pretty good shape especially on the Clark Fork, if we get kind of a normal spring where we have cool nighttime temperatures, the runoff should come off or hopefully will come off in kind of a measured way which maximizes generation. So that happens, we should be in pretty good shape.
Paul Ridzon: You said Clark Fork was 101?
Dennis Vermillion: Correct.
Paul Ridzon: Good, it’s looking pretty strong. Okay, thank you very much.
Dennis Vermillion: Yeah.
Operator: At this time, I am showing no questions.
Scott Morris: I’d like to thank everyone for joining us today. We certainly appreciate your interest in our company. Have a great day.